Operator: Greetings and welcome to the Pinnacle West Capital Corporation 2017 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Stefanie Layton, Director of Investor Relations. Thank you. You may begin.
Stefanie Layton: Thank you, Christine. I would like to thank everyone for participating in this conference call and webcast to review our third quarter 2017 earnings, recent developments and operating performance. Our speakers today will be our Chairman and CEO, Don Brandt; and our CFO, Jim Hatfield. Jeff Guldner, APS's Executive Vice President of Public Policy and General Counsel and Mark Schiavoni, APS's Chief Operating Officer are also here with us. First, I need to cover a few details with you. The slides we will be using are available on our Investor Relations website, along with our earnings release and related information. Note that the slides contain reconciliations of certain non-GAAP financial information. Today's comments and our slides contain forward-looking statements based on current expectations and the Company assumes no obligation to update these statements. Because actual results may differ materially from expectations, we caution you not to place undue reliance on these statements. Our third quarter Form 10-Q was filed this morning. Please refer to that document for forward-looking statements, cautionary language as well as the Risk Factors and MD&A sections, which identify risks and uncertainties that could cause actual results to differ materially from those contained in our disclosures. A replay of this call will be available shortly on our website for the next 30 days. It will also be available by telephone through November 10. I will now turn the call over to Don.
Donald Brandt: Thanks, Stefanie, and thank you all for joining us today. This year continued to be in line with our expectations and keeps on pace with our full-year guidance. Although we experienced milder weather compared to normal during September. Our positive customer growth, ample investment opportunities and disciplined cost management continued to support our ability to meet financial commitments. Just last month, our Board also approved a 6.1% dividend increase, demonstrating the confidence our Board and our management team have in our ability to maintain sustainable growth. Before Jim discusses the details of our third quarter results, I'll provide several updates on recent regulatory and operational developments. Our rate review concluded on August 15 with Arizona Corporation Commission voting to approve our settlement agreement without material modifications, including a 10% return on equity; and a $94.6 million base rate increase, which results in an overall 3.3% customer bill increase. New rates went into effect on August 19. The successful rate review outcome continues to demonstrate Arizona's constructive regulatory environment. On September 1, we filed our proposed 2018 Demand Site Management or DSM, plan with the Corporation Commission. The 2018 DSM plan shifts focus to better align with our changing resource needs. The plan moves away from incentives, where savings no longer aligned with the system needs. It also introduces new programs to shift customer usage to the middle of the day, when solar resources are abundant and energy is less expensive. For example, the 2018 DSM plan includes a pilot proposal to electrify school buses and provide charging infrastructure. We believe electrifying vehicle fleets is a win-win solution, utilizing excess power generated by solar during the middle of the day, while effectively reducing carbon emissions in a cost-efficient manner. To further address excess mid-day power, the 2018 DSM plan also includes an innovative reversed demand response pilot, allowing customers to take advantage of negative pricing events. Further recognizing the growing market for electric vehicles, the 2018, DSM plan includes a managed EV charging pilot program for electric fleets, workplaces and multi-family housing locations. And charging stations would be utility-controlled and available to provide demand response and load-shifting capabilities. The shift in energy efficiency towards a strategic focus on managing peak demand allows customers to save money by encouraging usage during periods where energy is less expensive. From an operational perspective, this shift helps address our over-generation challenges in the middle of the day. In addition, it plays a key role in providing environmental benefits by allowing us to more fully utilize zero or low-carbon resources. Turning to our operations. Our employees once again did an excellent job, maintaining the generation fleet and electric grid this summer. The Palo Verde generating station performed well, with all three units operating at a combined capacity factor of 99.4%, unit 1 at Palo Verde ended its plan refueling outage on October 7. In September, Four Corners began a 95-day plant outage on unit 5. During the outage, we will tie in with selective catalytic reduction equipment referred to as SCRs. A second 95-day plant outage will occur in early 2018 to repeat the process for Four Corners unit 4. The SCR will be installed at Four Corners will reduce nitrogen oxide emissions by more than 80%. APS customers have benefited from savings of $30 million in the Company's first year in the Western regional energy imbalance market. Our EIM participation has allowed us to garner efficiencies by decreasing production costs, lowering the cost of integrating renewable resources and taking advantage of negatively priced power from other states. The summer of 2017, also, we wrote APS energy records, an all-time peak usage record and new technology defined the season. On the technology front, we experienced our first summer with a newly-implemented advanced distribution management system, or ADMS. And ADMS provides grid operators increased visibility of our system and the ability to remotely control a greater portions of the distribution grid across the state. And this ability played an important role in APS' response to monsoon storms over the course of the summer. And with our operating system and other grid-enhancing technology, APS is positioned to meet the evolving needs and expectations of our customers. Our capital investment program continues to be robust and is focused on flexible generation, new grid technology and advancing core utility operations. We are progressing on the installation of five new fast start, flexible generating units at the Ocotillo power plant. Also, in middle of rebuilding about 20 miles of poles and wires and rulers on Arizona. We'll be installing a battery storage system to meet the area's growing demand for electricity. Construction on our new 8-megawatt hour battery storage project will begin in early November and is expected to be operational early next year. We also installed two battery storage units in the West Valley in December, 2016, as part of the solar partner program, and we are exploring additional storage opportunities. These innovative projects are indicative of the type of grid we envisioned for customers: smart, multifunctional and a platform for additional customer-cited technology. Looking forward, our long-term strategic plan positions us well to capitalize on new investment opportunities. Our fundamentals and our expectation for growth remain unchanged. And the recent dividend increase reinforces the boards' and management's confidence and our ability to execute and deliver value to our shareholders. I'll now turn the call over to Jim.
James Hatfield: Thank you, Don. And thank you again everyone for joining us on a call. Today I'll discuss the details of our third quarter financial results provide an update on Arizona economy and review our financial outlook, including introducing 2018 guidance. This morning, we've reported our financial results for the third quarter of 2017, which will in line with expectation. As summarized on Slide 3 of the materials, for the third quarter of 2017, we earned $2.46 per share, compared to $2.35 per share in the third quarter of 2016. Slide 4, outlines the vacancies that drove - the variances that drove the changes in our quarterly ongoing earnings per share. I'll highlight a few of the key drivers. Gross margin was up $0.22 per share in the third quarter of this year, compared to last year reported by several factors. The rate increase approved by the commission in ADS' rate case proceeding, which became effective August 19, improved gross margin in $0.13 per share. Higher sales in the third quarter of 2017, compared to the third quarter of 2016 increased earnings by $0.02 per share, driven by customer growth, partly offset by the effects of energy efficiency and the disputed generation, the net effect of weather variations $0.02 per share. Cooling degree-days were higher in the third quarter of this year, compared to last year, although whether in both 2016 and 2017 third quarters with less favorable the material averages. Higher operations and maintenance expenses decreased earnings by $0.02 per share in the third quarter of 2017, primarily due to an increase in employee benefit costs. We also have had higher plant outage cost related to the beginning stages of the SCR installation at Four Corners unit 5. Depreciation and amortization expenses were higher in the third quarter of 2017, compared to the third quarter of 2016, impacting earnings by $0.07 per share. The increase was primarily driven related to time additions and the $61 million annual increase in D&A rates approved in the rate case. Looking next to Arizona's economy, which continues to be an integral part of our investment thesis, I'll cover some of the trends we are seeing on the local economy and in particular, the Metro Phoenix area. Metro Phoenix areas continue to show job growth of about the national average. Through August, employment in Metro Phoenix increased 2% compared 1.5% for the entire U.S. The above average job growth is broad based and driven largely by tourism, health care, manufacturing, finance and construction. The Metro Phoenix unemployment rate of 4.3% also reflects a strength of the job market. Job growth continued to have a positive effect on the Metro Phoenix area commercial and residential real estate markets. As seen on the upper of Slide 5, vacancy rates in commercial markets continue to fall or at the levels last seen in 2008 or earlier. Additionally, about 3 million square feet of new office and retail space was under construction at the end of the quarter. We expect the continuation of business expansion and related job growth in the Phoenix market, which will, in turn, support continued commercial development. Metro Phoenix has also had growth in the residential real estate market. As you can see in the lower panel of Slide 5, housing construction is expected to continue the upward post-recession, trend. In 2017, housing permits are expected to increase by about 2,000 compared to 2016, driven by single-family permits. In fact, permits for new single-family homes in the third quarter with a highest level seen since 2006. One factor driving this increase is that Maricopa County was the fastest-growing county in the U.S. in 2016. That activity in the market is providing meaningful support for home prices, which have returned to levels last seen in 2008. We believe that solid job growth and low mortgage rates should allow the Metro Phoenix housing market and the economy more generally to continue to expand at this pace over the next couple of years. Reflecting the steady improvement in economic conditions, APS's retail customer base grew 1.9% in the third quarter. We expect that this growth rate will continue to gradually accelerate in response to the economic growth trends I just discussed. Importantly, the long-term fundamentals supporting future population, job growth and economic development in Arizona appear to be in place. Finally, I will review our financing activity, earnings guidance and financial outlook. On September 11, APS issued $300 million of 10-year 2.95% senior unsecured notes. The proceeds will be used to refinance commercial paper borrowings and replenish cash temporarily used to fund capital expenditures. Overall, our balance sheet and liquidity remain very strong. At the end of the quarter, Pinnacle West and APS had approximately $100 million and $32 million of short-term debt outstanding, respectively. As Don discussed, in October, the Board of Directors increased indicative annual dividend by $0.16 per share, or approximately 6% to $2.78 per share effective with the December payments. Turning to guidance. We continue to expect Pinnacle West's consolidated ongoing earnings for 2017 will be in the range of $4.15 to $4.30 per share. Key drivers to the remainder of the year include the impact from our rate case, and higher O&Ms as we complete the plant outage at Four Corners. The extended planned outage at Four Corners is why earnings in the fourth quarter of this year are expected to be lower than the fourth quarter of 2016. We are also introducing 2018 ongoing guidance of $4.25 to $4.45 per share, which includes an increase in our weather-normalized sales forecast to 0.5% to 1.5%. The rate increase, our adjustment mechanisms and sales growth will be important gross margin drivers, we expect will be partially offset higher fossil plant outage cost and higher other operating expenses relating to more plant service, including higher G&A and property tax. We've also increased our 2018 capital expenditures forecast by approximately $40 million, mainly from reliability-related projects. We have higher cost of planned outages cost in 2018 including the 95 day SCR installation of Four Corners Unit 4. We also have planned outages that our gas plant including Redhawk, maintenance that our gas plants is based on one hours and starts. Our participation in the energy and balance market increasing levels of solar generation and low gas prices combined with the result and more starts in many of our plants. We'll continue to plant to operate our business for long-term success, but we continuously strive to manage costs in sustainable manner. In 2018, there are larger than normal number of planned outages will provides necessary maintenance to continue operating or diversified fleet with a high level of reliability our customers expect. We also believe that thoughtful and well-executed preventive maintenance can limit more costly emerged work in the future. We will find a complete list of factors and assumptions underlining our 2017 and 2018 guidance in the appendix to today's slides. Our rate base growth outlook remains at 67% through 2019, and this growth expect annualized consolidated return on average common equity at more than 9.5% over the same time raising. With the combination of modest customer growth supported by robust economic development activities, extensive capital investment opportunities and renewable resources, technology and grid modernization together with a constructive and forward thinking regulatory commission. We believe we are well-positioned to continue our track record of success. This concludes our prepared remarks. I will now turn the call back over to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Ali Agha with SunTrust. Please proceed with your question.
Ali Agha: Thank you. Good morning.
Donald Brandt: Good morning, Ali.
Ali Agha: Good morning. You mentioned pointed out in 2018, you will have higher than normal outages and so the O&M expense yes, it's lumpy and it's higher. As you look forward you may be the next couple of years. Can you remind us again when we should see that kind of lumpiness in the O&M expense, I am assuming 2019, 2020 perhaps return to normalized level so how should we think about that?
Donald Brandt: Well, I would say that, since we haven't gone beyond 2018, is our fossils - overall spend has always been lumpy. And you can see on Slide 14 and the appendix so to the historical pattern. This was an unusual year with the SCRs and scope of the work done to make that happen, along with gas plants as I said based on starting hours. So I'll just say it's a lumpy, but this year it's unusually high.
Ali Agha: As would be next year as well.
Donald Brandt: Yes.
Ali Agha: And then, the second question, in the slide deck, you laid out at least an aspiration of the plan for the dividend growth to continue at 6% beyond the current level. Should we use that as a good proxy of how you're thinking about EPS growth longer term as well?
James Hatfield: Well, I would just state it this way since we don't give earnings growth is, our rate base growth is 6% to 7%, the board and the management team is very comfortable of what we'd see through the next rate cycle. So you can imply anything you want on that.
Ali Agha: Okay. Last question, year-to-date, weather-normalized sales growth has been essentially flat, I think like 0.1%. Is that in line with what you're thinking for this year? And any read-through on how you're expecting longer term? I know you're expecting it to go higher, but how would you rate sort of the year-to-date trends?
James Hatfield: I would say that, year-to-date, of 0.1%. We saw a somewhat of the slowdown usages that came probably in October. Probably some impact in there, higher than the rate case. We had a weak fourth quarter of 2016, so I think sales are right in line with what we've forecasted throughout the year.
Ali Agha: Thank you.
Operator: Our next question comes from the line of Greg Gordon with Evercore. Please proceed with your question.
Greg Gordon: Thanks. Good morning, guys.
James Hatfield: Hi, Greg.
Greg Gordon: I mean, I will frankly ask the key questions that I was focused on. But I'm looking through the slides here. I don't see any update on what rooftop solar penetration or rooftop solar sales have done since the rate case was resolved and the rate design has changed. Can you give us a sense of how the market has changed from what…
James Hatfield: Yes. So the exact number will be in our EEI slide deck, which will be filed later today and we're just finalizing the number, but you did see a fall off on what we expected with the pull forward in 2018 to the grandfathering, but that number will be in slide that we'll follow later today.
Greg Gordon: Okay. Great. Thank you. And I know, Don, you talked about ample investment opportunities just around the economic growth and the monetization of your infrastructure. Your current 2017 to 2019 CapEx plan is reasonably significantly backward-dated. It goes from $1.3 billion to $1 billion per year. At what juncture should we expect or what milestones should we look for you to identify customer-friendly sort of customer necessary investments that might bring those numbers up?
Donald Brandt: Good question, Greg. We continue to look for those opportunities. And I think it's going to be largely driven by the kind of growth we're seeing, some of the things that Jim touched on, but an addition to that, Maricopa County, where Phoenix is at, the number one population growth center in the United States. We saw employment in Metro Phoenix increased 2% compared to 1.5% for the nation and realtor.com projects Phoenix to be the number one housing market in 2017. We've had the larger customer side, like Intel, which isn't the customer, but they announced a new fab facility in the Metro area, which the housing component has add in the service sector will bleed over into our service territory. And you used to get the card drive around and the card looks blinded block without multi-family project going up in the Downtown Phoenix is really taken off. So it's pretty bullish on our customer expectation over the next two to five years and I think that will drive a lot of our CapEx spending.
James Hatfield: And Greg we will have a updated - we'll file all updated CapEx including 2020 in our 10-K in February, so that will give you all so outlook in the future.
Greg Gordon: That's was I thought. Thanks guys. Have a great day.
Donald Brandt: You too.
Operator: Our next question comes from line of Julien Dumoulin-Smith with Bank of America Merrill Lynch.
Julien Dumoulin-Smith: Hey good morning.
Donald Brandt: Good morning Julien.
Julien Dumoulin-Smith: Yes, thank you sir. Appreciate it. I wanted to follow-up a couple of questions real quickly, a little bit to the last one that Greg last one that Greg asked. You talked about future investments, given the acceleration here. Can you talk about the smart grid and reinvesting the grid from that perspective beyond kind of the near-term beyond 2019? Clearly it seems like that that's a trend in the industry and you all probably see that to a larger extent, perhaps, and others given the customer growth?
Donald Brandt: We have smart meters in across our system. So they are fully deployed. Don mentioned ADMS, which is really the grid, technology that allows us to get visibility into the grid and control. And I would say, our annual spend today on things like integrated greater more are probably $40 million to $50 million and that's really evolving at this point, so ample opportunity to continue to support the two way grid.
Julien Dumoulin-Smith: Got it, excellent and then separately, obviously, more of a few related question, but how do you think about the timeline to retirement in some of the units here. I mean could we see some of the accelerations out there. Just given average units costs structure et cetera, I mean could that be a mitigate to some of the future O&M growth or the current O&M growth your facing here.
Donald Brandt: So Navajo is closing in 2019. The way it stands today. We did an RFP last year for beyond 2020. We have one in store right now as well. So I think unless are talking about the successful sort of safety type, I would not put anything in near-term.
Julien Dumoulin-Smith: Got it. Fair enough, excellent. And then out of the RFP, any commentary in terms of your ability to own something. I mean obviously we saw last year's results turn out to be contracted gas. How are you thinking about that for yourselves under any number of potential outcomes including build, own, transfer, acquire, own the rate base is - any number scenario?
Donald Brandt: So the RFP's in process now. We're nearing the final stages at this point. We did not final stages at this point. We did not include in of build, own, transfer or sales build at this point. This is really for power blocks for day. It is what we're really looking for.
Julien Dumoulin-Smith: Got it, excellent. I'll leave it there. Thank you all very much and see you soon.
Donald Brandt: Thank you.
Operator: Our next question comes from the line of Michael Weinstein with Credit Suisse Securities. Please proceed with your question.
Michael Weinstein: Hi, good afternoon. Just two follow-up on Julien's question, so would we see perhaps or replacement from Navajo being sought next year's RFP, is that the kind of timing that we would be thinking about
Donald Brandt: Last year's RFP was for 2020 and beyond, so we'll get through this RFP and see what our needs are at this point.
Michael Weinstein: Right, and at some point, do you anticipate try to take advantage of some of the exceptions to this self-build moratoriums such renewable ownership and that kind of thing and maybe that would show up in the CapEx forecasts at some point?
James Hatfield: Yes, we don't really need anything at the moment. But we'll evaluate ongoing whether we need something that or not so.
Michael Weinstein: Is there any - I mean I know it hasn't put out the new presentation here for you, but what do you think are the expansion possibilities for battery storage at this point beyond the current programs that something that could take off and accelerate?
James Hatfield: Well, I think we'll continue to play more battery storage as we move forward. I think we're taking a measured pace to make sure we're not in front of the cost curve. As Don said, we're putting in a couple of batteries in the rural area to in lieu of upgrading the circuit. And I think there will continue to be opportunities where we can sort of capital near-term few battery storage. But we're just getting started at battery storage at this point.
Michael Weinstein: Okay. Thank you.
Operator: Our next question comes from the line of Michael Lapides with Goldman Sachs. Please proceed with your question.
Michael Lapides: Hey, guys. If I just at look at your guidance for 2017 and your guidance for 2018 and take midpoint to midpoint. It implies about I mean back on the envelope, 3% EPS growth. Your rate base growth guidance is about 2x of that or double of that. I'm just curious, can you help me understand do you think 3% is kind of a normal EPS growth or there abnormal things that are happening in 2018 that make the EPS growth rate below average?
James Hatfield: Obviously, we don't think 3% is normal or the board would normal rate the dividend of 6%. 2018, as it sits today as a test year. There's a lot of capital if that recovered in there you have the training of the - you have a deferral, but you are not earning on it. So now I think it's just on unusual year if you look back historically we've grown from 10% to 1.5% EPS and I wish desktop was leaner it makes it a lot easier but unfortunately it's not leaner. We're always have cycles through the rate cycle.
Michael Lapides: And I want to make sure I understand when I think about the rate case cycle. Will you be filing just add Four Corners in Ocotillo in the rates as follow-up bolt-on kind of mini-cases. Or you still planning to have a full blown GRC filing in 2019 with 2018 is the test year and 2020 is the implementation timeframe?
James Hatfield: So the way it sits today, remember we have the step increase in the Four Corners which will be 1/1/2019. We currently have 2018 as a test year which would be - Ocotillo will be done in May of 2019 and then it will be the rest of the capital and with 2018 test year as it sits today.
Michael Lapides: But the case will be if you are using 2018 as a test year, it's not just the capital, it's the capital, it's the O&M, it's kind of all in.
James Hatfield: It's not one issue for the rate case; it would be four rate case.
Michael Lapides: Got it. And when would that case get kind of I'm trying to think about the timing of it, when would that get implemented probably sometime in 2020?
James Hatfield: So we cannot file the before moving on to 2019, so if you think about the last cycle we filed June 1, rate will to effect July 1, 2020 and that's as it's currently contemplated.
Michael Lapides: Got it. Thank you, Jim. Much appreciated.
Operator: Our next question comes from the line of Charles Fishman with Morningstar. Please proceed with your question.
Charles Fishman: Thank you. Just one quick one. Dividend growth guidance was 5% recently is after the August rate case discussion, now at 6%. Can you provide a little color, what was the board - what drove the board to increase the 1% payout ratio or how do they look at it?
Donald Brandt: They look at normal payout ratio per se, although, we look at payout ratio and credit metrics and everything. They use to look at our long-term future and see that we have a good plan in place with growth. We started the dividend increase as we drove that 4%, we raise it to 5% in 2015, so as far they are manually looking at our sustainable dividend growth.
Charles Fishman: Okay. Pretty good. Thank you. That's all I had.
Operator: Our next question comes from the line of Shar Pourreza with Guggenheim. Please proceed with your question.
Shar Pourreza: Hey, guys. My questions are answered. Thanks.
Donald Brandt: Thanks, Shar.
James Hatfield: Thank you.
Operator: Our next question is a follow-up from Greg Gordon with Evercore. Please proceed with your question.
Greg Gordon: Yes, I just wanted to be clear then this goes back to the first question that was asked, and then as it ties into 3% year-over-year growth, the midpoint of guidance. That's also clearly a function of the fact that you're - the timing of the maintenance the sort of $0.11 higher year-over-year, right and going back to…?
James Hatfield: Well, that moving one piece of it Greg.
Greg Gordon: Yes, I mean I understand the other pieces that you articulated but that alone, if you look at Slide 14, you're looking at, over the last one, two, three - six years, you're at an all-time high on planned outage spending. So is it the right way to think about it without trying to tie you into a specific guidance format that you're not comfortable with, looking at sort of a long-term average and thinking about that as what a run rate should be in any given year?
James Hatfield: I haven't calculated it, but certainly your $0.11 in 2018 over 2017 is part of that up and down that happens on a year-to-year basis.
Greg Gordon: Right, but even 2017 was - 2016 and 2017 were higher than the prior three years by the significant margin? I guess, what I'm trying to do is maybe at EEI you can decide to give people what you're thinking on average estimated cost would be through the cycle. So we could get a better sense of what it will look like out through time?
James Hatfield: I'll say overall O&M and obviously this goes up and down, cents per kWh, O&M expense as a - cent per kWh whether normalized retail sales have been flat since 2010 at $0.275 of kWh. So we'll work hard that to keep O&M certainly over the timeframe based on kWh growth.
Greg Gordon: Great, thanks guys. See you soon.
James Hatfield: Okay, yep.
Operator: We have reached the end of the question-and-answer session. I will now turn the floor back over to management for closing comments.
Donald Brandt: Thank you for being on the call. We'll see you next week in Orlando.